Operator: Greetings and welcome to the Lincoln Electric, fourth quarter and full year 2011 financial results conference call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) It is now my pleasure to introduce your host, Vince Petrella, Chief Financial Officer for Lincoln Electric. Thank you sir. You may begin.
Vincent Petrella: Thank you Christine. Good morning to all of you joining us today and welcome to the Lincoln Electric 2011 fourth quarter financial results conference call. We released our earnings this morning prior to the market’s open. Additional copies can be obtained on the Lincoln Electric website or by contacting our Investor Relations office. Starting the discussion this morning will be John Stropki, Lincoln’s Chairman and Chief Executive Officer. John will provide commentary on the quarter and the year, as well as discuss some activity in our statements. I will follow with some more financial numbers in greater detail. We’ve included a PowerPoint presentation as a part of today's discussion, which is available on the Lincoln website as well, under the Investor Webcast tab. But before we get started with today’s discussion, let me remind you that certain statements made during this call and in our discussions maybe forward-looking and actual results may differ from our expectations. Actual results may differ materially from such statements due to a variety of factors that could adversely affect the company's operating results. Risks and uncertainties that may affect our results are provided in our press release and in our SEC filings on Form 10-K and Form 10-Q. Now, let me turn the call over to John Stropki.
John Stropki: Thank you Vince and good morning to everyone. Our results for 2011 fourth quarter were very positive. 2011 sales of $2.7 billion was the highest in Lincoln’s history and also marked the second consecutive year-over-year of very strong sales growth. Sales in 2011 increased 30.2% over 2010, which in their self were up 20% from 2009 results. We obtained good leverage in most of our business segments. The fourth quarter strong operating results, coupled with continued strength in sales and profitability were particularly encouraging, giving the ongoing uncertainty in economic and political environments in several key markets. We entered 2012 with very good momentum. Particularly here in North America, our largest segment, where the overall manufacturing environment and relative business metrics continue to improve, especially in the United States. Our strong revenue growth underlines the fact we remain focused, on track and we are executing on our global growth strategy. Our three U.S. acquisitions of last year are contributing beyond expectations and demonstrating good upside potential. Fourth quarter sales rose 23% to $695 million and net income increased 39% to $57.7 million or $0.68 per diluted share. Full year 2011 net income increased 66.8% to $217 million or $2.56 per diluted share. Vince will provide more detail on the numbers later, but first I’ll review some of the segments and provide a little color about the activity in the regions. First, North America. In North America, our largest segment, sales were very strong in the quarter, rising 33% year-over-year to $362 million. Third party export sales increased $63 million, up 21% from the fourth quarter of 2010. Exports to the Brit countries improved 37% over the same period. We also announced a price increase in the United States effective October 3, 2011. Machine pricing was increased, an average of about 5%, with certain welding consumables, including select Sub Arc and Flex Cord wires, the pricing increased between 3% to 7%. 2011 North America sales were $1.3 billion, a 29% increase year-over-year. As I said earlier, we are very pleased with the progress of our recent North American acquisitions. Torchmate has been a great addition right out of the gate. The products fit well with our customers and has been embraced by our industrial distribution channel. The team of people at Torchmate are energized and we are thrilled to have them on our team. Our products has been focused on the development of new orbital welding systems. These products are used extensively in industries supporting the construction and maintenance of the energy infrastructure. The new orbital welding products have been released with great enthusiasm by key customers. Techalloy makes nickel based alloy and stainless steel welding consumables. These products are important to the energy related industries. Techalloy was carved out of Central Wire. We have since consolidated operations in Baltimore, installed SAP, integrated the products into Lincoln’s portfolio and begun to manage the business for improved profitability. We will be moving the Techalloy operation into our Cleaveland operations in the future and we were just awarded a significant financial incentive package from the State of Ohio to help facilitate this move. Business conditions in North America operations were stronger in the quarter. Overall industrial activity represented in key measures such as industrial production and capacity utilization across factories in the United States, both ran ahead of last year’s comparable. Industrial production in the US, excluding the high-tech segment was trending at 3.9% ahead of 2010 as of December 2011. Capacity utilization was running at approximately 76.2% and the purchaser manager’s index also continues to indicate a growing economy, with Q4 measures stronger than Q3. Finally we experienced strong order trends through the fourth quarter and into the early stages of 2012. Moving to Lincoln Europe. Lincoln Europe welding, a segment that also includes the Middle East, North Africa and Russia, hosted solid results for the quarter with sales of $127 million, an increase of over 22% from the same period last year. The two new businesses acquired in Russia in the last 15 months had a positive impact on sales. A few key market segments within Europe showed good resilience in the phase of the overall challenging macro economic backdrop that prevails there. As an example, power generation segments had served the global export market along with oil and gas and the mining segments continue to hold up well, while the automotive sector has also remained fairly stable. For the year Lincoln Europe sales increased 41.3% to $509 million. Lincoln Asia Pacific sales in the fourth quarter were up 2% from last year, but up 16% for the full year at $376 million. Sales in the quarter were impacted by a slowdown in construction equipment spending and also by sluggish growth in the automotive segment. Both of these segments developed constraints of the tightened credit markets within China, for which we expect some relief in the second half of 2012. The strong mining sector in Australia has been a key driver to our Australian subsidiary, which continues to improve its performance and grow its contribution to overall Asia Pacific results. The overall macro economic outlook for Asia remains positive, with oil and gas and the mining sectors expected to continue to perform well. This will be tampered somewhat by the slowdown in China’s growth rate, which is creating some near term headwinds as inventories throughout the supply chain recalibrate to the lower trajectory emerging there. Looking at South America, in South America despite the signs of a decelerating GDP growth, Lincoln continued to benefit from infrastructure investment and large-scale projects in the oil and gas mining and ship building sectors. Sales increased 25.5% in the quarter, led by robust growth in Brazil, Venezuela and Argentina. For the year, sales in Latin America were up 33% to $157 million. Our key industry segment and value added solutions approach in the market, as well as leveraging our complete global product portfolio continues to show good progress. Our Harris Product Group had solid results for the quarter and for the year. Fourth quarter sales were $77 million, up almost 18% and increased 34.4% for the full year to $343 million. Harris Group Products include soldering and brazing alloys, as well as welding torches and cutting tools. A good portion of the Harris Products are solid into the HVAC industry and the home and commercial construction markets. In the quarter, the group’s consumable sales increased 19.6% from prior year and equipment sales increased 14.7%. Our Brass Tech brazing business in Brazil has continued to grow share and is leveraging Harris equipment offers in South America through it’s strong distribution network. For WCTA, one of Harris’s retail product businesses, overall sales, the home depot lows and other key DIY outlets were up double digit year-over-year, driven mostly from increased volumes and several new product introductions. That’s a review of the results of the business segments. Turning to the activity in the industrial segments, several of our welding industry segments showed strong growth in the quarter and improving potential for the near future. Offshore construction activity remained strong in 2011 as emerging economies in Asia, the Middle East and South America continue to develop their own oil and gas natural resources. Globally, offshore investment activity is forecasted to continue to increase through at least 2013, with the majority of the construction activity focused around countries like Brazil, China and Singapore. Lincoln Electric remains exceptionally well positioned, with the global deployment of a proven and robust solution to meet the most demanding requirements in offshore construction. Global automotive and light vehicle sales continue to rebound in 2011, including a robust showing in the U.S. at year-end. Lincoln gained important new equipment and consumable business, with many long standing key automotive accounts and we have also won some important new global customers in India, Brazil, China, Japan, Europe, Mexico and the United States. In the heavy fabrication segment, 2011 marked a year of strong recovery. Global manufacturers of earthmoving and agricultural equipment posted record sales in response to the favorable market conditions of strong commodity prices and increasing energy demands. In addition, global challenged to meet the infrastructure needs of a rapid urbanization movement that’s creating significant demand and expansion plans for earthmoving and construction equipment manufacturers. 2011 was an exciting year of growth in the pipe mill sect. Significant market penetration of Lincoln’s premium consumables was spearheaded by our SPX 80 flux, which was developed in response to the strong demand for high strength properties required in the spiral pipe welding manufacturing, such as increased impact toughness and significant increased travel speeds. We believe this product is the new benchmark for spiral type manufacturing. On the equipment side of the business, our Uhrhan & Schwill subsidiary increased its already strong market share in this segment. In the power generation and process segment, the issuance of the first new license in the United States in over 30 year for the construction and operation of a nuclear power plant, means that the nuclear industry in the U.S. is potentially poised for a nuclear power renaissance. Lincoln Electric with our broad nuclear welding specific products and industry experience is uniquely poised to lead the way in this rapidly growing segment. That’s a brief look at the segments. Now looking at some economic vectors. Globally steel production utilization is one of the most important metrics among the several that are effective parameters for the economic impact of the arc welding industry. The World Fuel Association reported that world crude CO production increased 6.8% in 2011, setting a production record. The global steel production forecast is for a continued growth of approximately the same 6.7% in 2012. That’s a quick overview of the market and results. Vince will now cover the financial results in more detail.
Vincent Petrella: Thank you John. As John highlighted, our fourth quarter 2011 financial results reflected a substantial improvement in revenue and operating earnings compared with the fourth quarter of 2010. Fourth quarter 2011 consolidated sales grew by 23%. Volume increased reported sales by 9.6% and pricing increased sales by about 6%. Foreign exchange had a slight impact on sales and acquisitions contributed an increase of over 8%. Fourth quarter gross profit margins increased to 28% compared with 26.2% in the comparable prior year period. There was no significant LIFO effect in the fourth quarter of 2011. The prior year’s fourth quarter did include a LIFO charge of $1.7 million. Our operating leverage from higher volumes drove the overall margin increase. SG&A expense for the fourth quarter was $112 million or 16.1% of sales, compared to $93 million or 16.5% of sales in the prior year, an improvement of 40 basis points. The increase in SG&A expenses for the quarter is primarily attributable to the increase in bonus expenses, incremental SG&A from acquisitions and an overall general increase in SG&A and R&D expense investment. Operating income for the quarter at $82.4 million or 11.9% of sales compared with $52.3 million or 9.3% of sales in the same year ago quarter, a 260 basis points improvement year-over-year. The 2010 fourth quarter included charges of $2.2 million, primarily related to rationalization action and asset impairments in Europe, Asia and the Harris Product segment. Operating income before these charges was $54.5 million or 9.7% of sales in the prior year. Equity earnings and affiliates increased to $1.4 million from $0.5 million in the prior year’s same quarter. The increase was primarily related to the strong operating results from our 50/50 joint venture in Turkey. The effective tax rate for the fourth quarter was 30.8% compared with 20.1% in the 2010 fourth quarter; a significant factor driving the lower effective tax rate since 2010, the prior year, was a change in tax regulations in Asia Pacific, resulting in a $5.1 million reduction in income taxes. Net income for the fourth quarter was $57.7 million or $0.68 per diluted share compared with $41.5 million or $0.49 per diluted share in the 2010 fourth quarter. Excluding special items, net income was $38.3 million or $0.45 per diluted share in the 2010 fourth quarter. There were no special items in the current year’s fourth quarter. On a geographical segment basis and excluding special items, North America welding achieved an EBIT margin of 17.8% in the fourth quarter compared to 15.9% in the comparable quarter in 2010. Volume growth of 16.7% helped drive the improvement in EBIT, pricing contributed 5.4% and acquisitions increased sales 11.3%. And as John mentioned in his comments, those acquisitions in North America included the specialty alloy consumables company Techalloy and the cutting system’s company called Torchmate. There was also a decrease of 60 basis points attributable to foreign exchange effects. Europe’s welding EBIT margin was 6.8% compared to 2.1% in 2010. Sales were up 4.6% due to volume. Pricing increased sales by 5.4% and acquisitions added 14.6% for sales in the region. Again, the acquisition sales increase was attributable to the two previously discussed and announced Russian acquisition. Foreign exchange decreased sales by 2.8%. Onto Asia, that segment reported an EBIT loss of approximately 70 basis points, compared to a profit margin of 80 basis points in 2010. Sales in Asia Pacific were down 6.3% due to volume, pricing was relatively flat and foreign exchange increased sales by 3.7%. The volume decreases were primarily caused by the slow down in the construction and related machinery markets in China. South America welding EBIT margin was 8.1% compared to 6.3% in 2010. Sales volume contributed 15.5%, price increases added another 13% and foreign exchange effects decreased sales by 2.9%. The price increases were primarily the result of the higher inflationary environment in South America, particularly in Venezuela. The Harris Products Group reported a 5.6% EBIT margin in the fourth quarter compared to 4.4% in 2010. Sales volume in this segment contributed 6.6%, pricing an additional 12.8%, while foreign exchange effects decreased our sales in the Harris Products Group segment by 1.6%. The increased pricing at Harris was primarily related to the pass-through effects of higher metals prices, primarily silver and copper. During the quarter and for the total year we generated $63 million and $193 million respectively in cash flows from operations. We ended the year with a cash balance of $361 million. Our net cash position ended the year at $258 million and it resulted in a net debt to total capital ratio of a positive 20%. Included in the company’s debt balance at December 31, 2011 is a senior unsecured note totaling $80 million, which we will repay in March of this year, 2012. During the quarter we paid cash dividends of $12.9 million, which resulted in dividend payments for the full year of $51.9 million. The dividend rate was increased by 9.7% in the fourth quarter of 2011 to $0.17 per share. During the quarter the company invested $15 million in capital expenditures, resulting in a full year CapEx total of $65.8 million in 2011. We expect our 2012 capital spending plan to approximate $65 million at the current time. We spent approximately $66 million on the previously discussed acquisitions in 2011, strengthening our global geographical position and our product portfolio in both consumable and machine product lines. Our return on invested capital ended the year at 16.9%. During the quarter we spent an additional $9.4 million repurchasing about 256,000 shares at an average cost of $36.16 per share and for the year we spent a total of $37 million on share repurchases totaling 1,078,000 shares for an average price of $34.33 per share. Weighted average shares outstanding for the quarter ending December 31, 2011 were 83,384,000 shares at the end of the year. That’s the extent of my prepared comments. And with that, I would like to, Christine, open the call for any questions.
Operator: Thank you. (Operator Instructions) Our first question is from Mark Douglass with Longbow Research. Please proceed with your question. 
Mark Douglass - Longbow Research: Good morning, gentlemen. Thanks for taking my call.
John Stropki: Good morning Mark.
Mark Douglass - Longbow Research: Can we talk about -- the margin performance in North America was very strong, 19% of net sales. If volumes are maintained at current levels, is this margin sustainable or is it some seasonality in the quarter-to-quarter EBIT. You might see it go down a little bit and then, would you have still some incremental margin leverage, modest volume gains in ‘12.
John Stropki: Well, we had a very strong quarter, obviously in North America Mark. Our volumes were very strong on a year-over-year and sequential basis. We would expect that as long as the volumes stay the same and our cost structure remains relatively stable, that we ought to have some similar types of margins going forward. In 2012 there will be some headwinds from higher pension costs, because we finished the year with a much lower discount rate, a 110 basis points lower in 2011 and 2010 and our relatively large pension plan had asset returns that were less than what we had expected. So we are looking at about a $7 million to a $9 million increase in pension expenses in 2012. Other than that though, I think we would expect it to be inline with 2011 types of margins in North America.
Vincent Petrella : Again I would just add Mark, we talked over the years about the investments that we have made in the facility to improve our cost basis. We are clearly seeing some results in regards to that and based on the comments that I made, we also see some real opportunity with the three acquisitions that we talked about. We spend a good part of the year integrating those acquisitions. We think that they’ve got a lot of traction ahead of them and we are quite optimistic about the positive returns that and we can get in regards to those three companies also. 
Mark Douglass - Longbow Research: And you still have some more integration plans with the acquisitions. It sounds like your moving one to Cleveland, am it right?
John Stropki: Yes, that probably is. That’s a couple year project that want happen over night. I mean, we’ve got some internal moves to make here in making space and getting the appropriate layout for that. So we will be operating at a facility out of Baltimore for a couple of years. But we are putting a lot of changes even in Baltimore that we think will have positive improvements on the productivity and the quality elements of those products.
Mark Douglass - Longbow Research: And then speaking of that, with the COO now, I assume that help really drive continuous improvement, what kind of plans do you have or what is it that we’re focusing on in ’12. I mean with Asia looking kind of week here for the first half, Europe who knows, but its probably going to be a little weaker. We can be focusing on those regions to help get them back. Europe needs to be double digit EBIT and Asia is looking at breakeven. I know you’ve explained Asia and China will take a while, but can you talk on activities that you’ll be focusing on.
John Stropki: Yes, I would say that Chris’s real focus will be on the international operations. I mean our North American business runs very well; we’ve got a very strong position here, not to say that it too can’t get better. But his focus will be on taking best practice opportunities from our best practice facilities and integrating those in our international operations in Latin America, China and in Europe and we already started with that process and we are looking for strong returns as a result of that activity.
Mark Douglass - Longbow Research: Okay, so there could be some upside in 2012 potentially if these – while you are on weaker volumes.
John Stropki: I think the big question mark is Europe. Volume will very much have a very strong fixed overheard cost in Europe with a large capacity installed and if we see major significant downturns in the demand there, it won’t be easy to offset that with any kind of an operational type of improvement. But we are taking a good hard look at that market and there are signs that there is a bit of a turnaround and one day you can be optimistic and one day you can be pessimistic, sometimes even changes during the course of the day. But at this point it doesn’t look like Armageddon is ahead of us and we can only think that we can keep a good solid performance there.
Mark Douglass - Longbow Research: Okay, thank you.
Operator: And your next question comes from the line of Steve Barger with KeyBanc Capital Markets. Please proceed with your question.
Alex Walsh - KeyBanc Capital Markets: Hi. This is actually Alex Walsh on for Steve, thanks for taking my questions. First of, I think Vince, you talked pretty convincingly a couple of quarters ago about incremental margins in the low 20% range and after running a couple of quarters below that, obviously incremental margin performance in the quarter was pretty good. I was just wondering if you guys can kind of talk to how you are thinking about the sustainable incremental margin outlook for the consolidated company.
Vince Petrella : Yes, we did have our best incremental margin quarter over the year at over 21%. The average for the year was a little over 17%, 17.3%. I would expect that we’re bouncing around in the high teens to low 20s in the next quarter or two, but we’ve also talked consistently Alex that we expect our business to be able to achieve a mid 20s type of incremental margin. So we made good progress in the fourth quarter. We showed a big jump between the third and the fourth quarter and if we can hit some of our Asia Pacific profitability on track and continue our improvements, sequential and year-over-year improvements that we see in some of the rest of our businesses, there is no reason why we can’t achieve our objectives or mid-20s type of incremental operating profit margin.
Alex Walsh - KeyBanc Capital Markets: That range you gave throughout, I mean, if you exclude the added pension expense, what would that be? 
John Stropki: I don’t know.
Alex Walsh - KeyBanc Capital Markets: Is there a kind of upside to that.
John Stropki: Well, that pension expense is going to be what it is. So I mean, we have sight of that. That’s one of the items that we know will happen in 2012, the dye is pretty well cast on that. So if you just take a $1 million divined by what our sales number is, you get what that headwind is.
Alex Walsh - KeyBanc Capital Markets: Got you. Okay, and then with regards to organic growth in Europe, obviously pretty good growth there. I think that was kind of bucking the trend from a lot of the industrial metrics that we monitor. I was wondering if you guys could kind of provide a little more detail on why you guys experience this good growth as you did.
John Stropki: Well, I think the first thing Alex you have to look at is what is the European market, the way that we define it. That includes Russia, the Middle East and North Africa and as we commented, we’ve had very good sales growth with our Russian acquisitions. The Middle East based on the high price for oil in particular and the demands in China for Natural Gas has seen a very strong rebound from the 2009 collapse and that has been a strong contributor in that area as is the year-over-year with North Africa with slightly improved political situation in Northern Africa. So that’s a big driver and then, I would say that the final point Vince can talk on, maybe some more specifics, was that the areas where we’ve seen very positive results in Europe and then mostly Eastern Europe and the strong economies of Germany in particular, where they have a very strong export economy, again driven around oil and gas and natural resource side of development to equipment and we are a big player in that area.
Alex Walsh - KeyBanc Capital Markets: All right. And then just jumping down the cash flow statement, obviously cash flow was pretty good. Free cash flow conversion actually over the course of the years seems to improve sequentially with each quarter. I was wondering how you guys were thinking about the run rate for free cash flow conversion and if that was kind of a function of normal seasonality or we’re actually at a higher sustainable run rate through ‘12.
John Stropki: Well, I think our free cash flow conversion is a function of two major variables; one is, what our income is and then secondly and perhaps was importantly is how we manage our working capital. So we expect that our earnings will continue to grow in 2012 and we also expect our working capital management to continue to improve. So those two metrics were intensely focused on and we’ve shown over the past several years a continual and gradual improvement in average operating working capital management and we fully expect that to continue and that will over the lover term aid us in growing our free cash flows for the business. 
Alex Walsh - KeyBanc Capital Markets: Do you expect working capital to be positive in 2012?
John Stropki: Well, we expect it to be a positive improvement in average operating working capital. So the ratio should fall.
Alex Walsh - KeyBanc Capital Markets: Got it. Okay. Appreciate it. I will jump back in line, thanks.
John Stropki: You’re welcome.
Operator: Our next question comes from the line of Walter Liptak with Barrington Research. Please proceed with your question.
Walter Liptak - Barrington Research: Hi, good morning guys and thanks for the good quarter.
John Stropki: Well, how are you doing Walter?
Walter Liptak - Barrington Research: I’m good. I wanted to ask a little bit more about Europe and understanding the way that you define it. How would you characterize Western Europe? I know you mentioned Germany being strong, but the volumes decelerated to up roughly five from ’12 and the third quarter on a year-over-year basis. And you mentioned it’s getting better. Were you thinking of Western Europe getting better, wanting to go negative in 2012, are we there yet.
John Stropki: Well, I would say, just to reemphasis what John said, Europe is characterized by some fairy distinct differ markets for us. The Middle East has been very strong, if anything, the business there is accelerating on upward trend, where as some of our most important businesses on the continent, including Southern Europe of Portugal and Italy are actually contracting, where sales volumes are falling and that contraction accelerated through the fourth quarter and into the first quarter of 2012. So in the aggregate we saw growth in the whole of the European segment that we repot, but there’s certainly are divergence in the direction of oil and gas and energy related markets that are primarily situated in the Middle East and more industrial mature markets that are in the continent, including southern Europe. So we have a mixed story there, but in the aggregate we did show volume growth in that segment.
Walter Liptak - Barrington Research: Okay are the contracting parts in the southeast, those countries. Is that going to be enough that we might see the overall geographic region down in terms of volume.
John Stropki: That certainly depends on how much they contract. At they present time there are not enough to offer that very robust activity that’s going on in the Middle East. Certainly if the south and the rest of the continent, including the Northern parts of Europe and Germany and the Netherlands and the U.K. started to slow, that’s a possibility. But the way it is, what we see right now is that we see growth in Europe, albeit a very modest type of growth.
Vincent Petrella: I would say well, if you look at the purchasing manger index for Europe, its actually getting some slight improvement in the last several weeks as there is good hope of stabilization of the Greece situation, so its moved up from 47 to 48 or 49. However in comparison to where it was a year ago, at 58, we’ve already seen a pretty big drop off. So Spain and Italy have very high unemployment rates. Ss a matter it’s going to get much worse than it already is with 21% or 22% unemployment. The bet is it won’t, but we can’t absolutely say that. So if things stay stable, we’ll have a pretty good result. If there’s an absolute collapse, then it’s impossible to predict.
Walter Liptak - Barrington Research:  Right, okay, I understand. John you mentioned that you’ve got a high fixed cost in Europe where you’ve been restructuring it from what I understand. Is there more restructuring that you would initiate if things continue to slow down.
John Stropki: We always have a down term strategy and if we saw massive deterioration in that market place, we would have some specific projects that we would undertake. When I talk about the high fixed cost, I mean we’ve got multiple plans that are there to service a pretty robust market and we operator those plans with very low levels of utilization and that can create some challenges for us and we would address those challenges as we’d be by looking at the restructuring. There’s nothing specifically on the agenda at this point in time, but we’ll be prepared to do that if need be.
Walter Liptak - Barrington Research: Okay, so during the quarter your profitability seems to be pretty nicely designed, that deceleration. Is that because of pricing or is that because of the previous cost action?
John Stropki: I would say it’s a little bit of both. I think our pricing in Europe is kind of stable; its improved a bit and certainly, we continue to work everyday, adjusting our cost base and becoming more efficient and operationally effective.
Walter Liptak - Barrington Research: Okay. When was the last price increase in Europe?
John Stropki: I think mid-last year.
Vincent Petrella: And the European pricing environment is not very positive I would say based on the current level of capacity utilization and welding consumables in particular, it’s a very different market. We’ve seen some contraction in steel prices there, which has provided an opportunity to hold price with lower cost and then reemphasis this point. I mean the 2009 recession provided us with the challenge of resizing our SG&A cost in Europe and our people there did a spectacular job of reducing our head count and giving us a much lower cost base. Had we seen the volume contraction we’ve seen in Europe pre-2009, we would have had a much different result than what we have now and it’s a complement to the fine work that our people have done in Europe, in realizing the challenge and taking it to heart and making the necessary changes.
Walter Liptak - Barrington Research: Yes, I think we can see that. And have you seen any changes in the market, now that Colfax owns Charter?
John Stropki: There is a new name on the front door.
Walter Liptak - Barrington Research: All right, okay. All right, thanks very much guys.
John Stropki: You’re welcome Walter.
Operator: Our next question comes from the line of Brian Rayle with Northcoast Research. Please proceed with you question.
Brian Rayle - Northcoast Research: Good morning. Great quarter, thank you.
John Stropki: Hi Brian.
Brian Rayle - Northcoast Research: A quick question; most of my questions have been answered, but on pricing versus cost, obviously that’s had a great volume quarter. Good results and the margin are pushed up, but how much are you’re costs going up versus what you’re seeing in pricing.
John Stropki: Well, you are talking – I mean, it’s a different circumstance in each different market. Let me talk…
Brian Rayle - Northcoast Research: Well, I mean, if you will give me detail by segment.
John Stropki: I don’t want to spend that much time. Let me just say this from an overall kind of perspective, that we are seeing decreasing or stabilized steel cost in most markets and in most kind of product segments. Its different in different markets, but in general, stabilized kind of a cost. With that type of environment that gives us some predictability that we could adjust to and I think we’ve demonstrated; pretty good capabilities in that area. That being said, we are also big users of chemicals around the world and as bullish as we’ve been, because of the mining sector and the opportunity that’s created for us in places like Australia and Brazil and other parts of the world for construction equipment sales and infrastructure, its also put a lot of pressure on our chemical buys, both from an availability and from a cost side of things. So the cost increases led to price increases in the U.S. that I talked a little bit about. We are reevaluating what the forward looking view of chemicals looks like and its likely we will have some further increase more selective, but increases where the chemicals come in to play and then on the equipment side, we have the issue of petrochemicals related issues, as well as electronics that will have to be addressed. So we paid deep and very close attention to those issues and I think we’ve demonstrated for many, many yeas our ability to come up with the right formula to respond.
Brian Rayle - Northcoast Research: So to interpreter that, just make sure I’m interpreting correctly. Pricing is now probably accelerating above the rate of cost increase?
John Stropki: Again, I would say that it would be different in each different market where we purchased that and the utilization numbers within those markets and not just one...
John Stropki: I’m sorry Brian. We are largely in line with our price increases over a cost adjustment. There can be timing differences and John, I’m mentioning one of those that they would be looking and we have in the past looked very closely at our price cost relationship and we fully expect on a overall on a global basis that we will maintain that price cost relationship and do what’s necessary to past through the cost increases, primarily in the material area of our business. 
Brian Rayle - Northcoast Research: And when you do that, you are talking on a margin basis correct or a dollar basis?
John Stropki: Largely on a dollar basis.
Brian Rayle - Northcoast Research: Dollar basis, okay. And then when you – the final follow-up question and I apologize, but when you go to your customers, do you pitch this as being – our raw materials are going up, so therefore you have to pay more or is it a product mix sort of pitch as well I guess. Surcharge on
John Stropki: What we’ve said in the past a number of times Brian, our customers know what’s happening in raw material prices, particularly steel, because they are joining steel and other metals together and so they can see when pricing is changing and they can expect us to come at some point and ask for those cost increases to be passed through. So we generally don’t do it in the form of surcharges, although there are situations and examples of us doing that. But the bulk of our price increases are across the board on the basis of what’s happening with input costs and primarily metals.
Brian Rayle - Northcoast Research: Okay great. Thank you very much. Great quarter.
John Stropki: Thanks Brian.
Operator: (Operator Instructions) Our next question comes from the line of Holden Lewis with BB&T Capital Markets. Please proceed with your question.
Holden Lewis - BB&T Capital Markets: Thank you. Good morning.
John Stropki: Hi Holden.
Holden Lewis - BB&T Capital Markets: A couple of things. First, thinking of maybe for the multi year look at how Asia’s performed, you have had this year. I think it’s an increase in terms of organic volume, not in the quarter, but for the year. Pricing is a little better this year than it was last year, but when it all sort of gets flushed out, it seems like your margin in ‘10 and ‘11 has been kind of similar, despite the fact that the top line stuff looks like it should be better. We had some similar experience. I guess in Europe you tackled those really effectively. Is there a more aggressive approach to Asia Pacific on the cost side that’s necessary to you or may be even look at change, the kind of the spending side that might be necessary given sort of what remains reasonably anemic margins in that region.
John Stropki: Holden, we are attacking all areas of our Asia Pacific and China business. We are looking at cost, we are looking at our positioning in the market place, we are looking at pricing. We are not satisfied with the progress that we’ve made over the past couple of years and we are very intensely looking at the whole business model in China in particular, in order to develop a more sustainable business model that can be improved over the short and intermediate term. So there isn’t anything that we aren’t looking at and challenging in Asia Pacific and in particular China. Now as a reminder, as a backdrop to the challenges that we have in that geography, China is just simply a much larger fragmented market with many more competitors and a more price sensitive environment than what we experienced anywhere else in the world. We expect in the longer term that we’ll see some improvements in that landscape, but we can’t wait for the longer term and we are looking at all potential actions to improve that business today, and so there isn’t anything in summary that we are not looking at in that market place.
Vincent Petrella: I would just add Holden, we have really three pretty significant initiatives under way. The first is we are consolidating plants. We mentioned the fact we are building the new stick electrode factory. We have been operating at a very inefficient rental facility that has both capacity constrains and operational cost that would be completed next year. We are combining the two flex plants that we have in the new facility and operating one, those should provide a very positive influence. Secondly, we have restructured our operation. They have gone to a share service company that will reduce a lot of the back office cost that we had, of operating independent companies and also give us a much stronger phase to the customer of one company versus four or five, which is what we had previously. And last, we have stabilized the business in China such that we are now beginning to have a focus on where we can use the low cost of our Asian, China operation for export opportunities around the world and the early returns of that are very positive, both in volumes and a significant improvement in margin opportunities, because of the higher price market for those kind of products and the markets that we are focusing on versus the price for those products in China.
Holden Lewis - BB&T Capital Markets: Okay. Do you sort of feel like 2012 in Asia could be kind of like Europe in 2011 with those initiatives, results and a meaningful improvement in sort of the operating margin or given the de-stocking that you’re seeing in the first half and some of the slower environment, are we sort of looking at maybe ‘12, looking a lot like ‘11 would benefit beyond once volume start to come back.
John Stropki: I think a lot is going to depend on how quickly the Chinese government loosens up the capital markets. We expect at least for the first quarter for volumes to be significantly constrained. We are optimistic that that would improve in the second half of the year based on the commentary and the vibrations that we are getting in the market, whether that’s in the second quarter or not, we don’t know. I would look at kind of flattish type of results unless there is a significant improvement in the economic model within the Chinese economy.
Holden Lewis - BB&T Capital Markets: Okay. And then just, my next question is traditionally Q4 is a weaker EPS quarter. This year you did see the sales come down a little bit, but as the season is typical, but obviously you did very, very well on the cost side. I mean there is no LIFO or anything in there. Did you not take sort of maybe production? Did you push manufacturing sort of work maintenance out or how did you achieve sort of non-seasonal EPS?
John Stropki: Well on the LIFO side, we did take charges for the full year, 2011 of $7.4 million and none of that came in the fourth quarter, so that the first three quarters of the year bore the brunt of our inflationary estimates for the full year and so there was no determent to our LIFO charge. The prior year’s fourth quarter did include $1.7 million that I mentioned in my prepared comments. So that certainly aided the quarter and our North American segment where we have LIFO accounting. Secondly, we had fairly strong backlogs, particularly in our North American operations at the later part of the forth quarter, which traditionally we would have seen some slowdown in production. So even though sequentially our production levels were down from the third quarter, we operated at a much higher level in the fourth quarter than we would have traditionally have operated.
Holden Lewis - BB&T Capital Markets: Okay, and was that sort of a sudden adjustment on the fly or was that kind of expected through the quarter?
John Stropki: It was perfectly anticipated and perfectly executed.
Holden Lewis - BB&T Capital Markets: Okay.
Vincent Petrella: We had some mixed improvements in the quarter that aided margin as well. It may or may not be the same case in the first quarter of 2012.
Holden Lewis - BB&T Capital Markets: Was that end market mix or between consumers machinery or where was the…
John Stropki: It was between machines and consumables, categories of machines that have higher margins and categories of consumables that had lower margin.
Holden Lewis - BB&T Capital Markets: Got it, okay. Thanks guys.
John Stropki: You’re welcome.
Operator: Our next question is a follow-up question from Walter Liptak with Barrington Research. Please proceed with your question.
Walter Liptak - Barrington Research:
John Stropki: Well first let me say that not so much de-stocking of inventories of our products with our customers, but its our customers de-stocking of their finished product kind if inventories. If you follow the commentaries of the construction equipment companies in China, they saw some pretty significant slow downs in their volumes, Hitachi, Komatsu in particular. But more so what you don’t see are the Chinese national construction companies that have very significant slowdowns in their business and so they are there bleeding through that and again our expectation that the capital markets are going to free up a little bit and there will be a turn out of this ticker, we should see some improvement in that and again as I said earlier, by at least the second half of the year.
Walter Liptak - Barrington Research: Okay, I understand. And just jumping around a little bit, the inventories came in. It looks like $47 million. So I wonder if you can comment on the geographic region where that happened?
Vincent Petrella: Well, inventories have largely followed our changes in sales by a region and most of that would have come in North America. We have maintained and improved slightly our day sales in inventory and improved actually in our international operations more dramatically, but the bulk of the inventory increase would be in North America. Again, following the size of the operation, as well as the growth in the top line and North America has one of the highest, not the highest growth in the top line of any of our operating segments in the quarter.
Walter Liptak - Barrington Research: Okay, maybe I’m reading this wrong. In your cash flow statement you got $47 million of cash inflow, that’s a good thing for inventories.
Vincent Petrella: What are you looking at?
Walter Liptak - Barrington Research: Just your cash flow statement.
Vincent Petrella: Are you looking for the quarter?
Walter Liptak - Barrington Research: Yes, for the quarter.
Vincent Petrella: Yes, not that’s actually a usage.
Walter Liptak - Barrington Research: I’m sorry. What was your year ending inventory?
Vincent Petrella: Year-end inventory was $373 million.
Walter Liptak - Barrington Research: Okay and the last couple of things, tax rate, what’s your expectation for 2012?
Vincent Petrella: It should be right around 30%.
Walter Liptak - Barrington Research: Okay and G&A.
Vincent Petrella: This year it was $62 million. I mean 2011 it was $62 million, so I would expect it to be somewhere around $62 million, $63 million, $64 million at the most.
Walter Liptak - Barrington Research: Okay great. Okay, thanks.
Operator: Our last question comes from the line of Greg Halter with Great Lakes Review. Please proceed with your question.
Greg Halter - Great Lakes Review: Yes, good morning guys.
John Stropki: Hey Greg.
Greg Halter - Great Lakes Review: Proud to be a Clevelander. A question for you regarding whether or not there was any M&A step-ups in the fourth quarter.
John Stropki: No the M&A, the acquisition, initial accounting step-ups have washed all through before the fourth quarter. So the fourth quarter was relatively clean. The last two acquisitions of the year, 2011, were really in July, the end of July and that washed through by the fourth quarter.
Greg Halter - Great Lakes Review: All right. And I think John in the past there has been some quotes about approximately 120,000 miles of pipeline planned out there. Is that number still in the realm of possibility over the coming years?
John Stropki: Yes, I think it’s very much so. I think we had to take like 3,000 miles out because of the XL pipeline decision that the Obama administration made, but we are hopefully that they’ll correct that mistake and put that back on the agenda. But all the activity that we see looks very positive, still in terms of oil and gas and even in the water pipeline area, where we are seeing some good opportunities. So I think we are still pretty bullish about oil and gas pipeline activity.
Greg Halter - Great Lakes Review: On the grand scheme of things, while Keystone is important for the U.S. out of 120,000 that’s not that big of a deal.
John Stropki: Yes, it’s a big deal for the U.S. market, but you’re right, from a global kind of perspective, most of that pipe or a good part of that pipe’s already been laid. So we’ve benefited from the construction of the pipe. We would have loved to have enjoyed the installation side of it and eventually we will, be patient.
Greg Halter - Great Lakes Review: And finally, I know you have the relationship with IPG Photonics for about a year and I’ve asked before, but just wondered if there is anything more specifically you can discuss there that maybe going on.
John Stropki: No significant changes.
Greg Halter - Great Lakes Review: All right, thank you.
John Stropki: I wanted, before we – and I think that might have been the last question, I wanted to go back to the cash flow statement and address Walter’s question. So for the quarter, our inventories on our year-over-year quarterly basis actually decreased by $47 million. So that was generating cash on a year-over-year quarterly basis. From a full year perspective we actually increased inventories or used cash of about $52 million. So full year, year-over-year use of cash $52 million, fourth quarter year-over-year generated cash of $47 million. So the quarter was a very good working capital inventory quarter, but year-over-year we did use cash of about $52 million or about the same amount that we generated in the fourth quarter. So hopefully that clears up your question Walter. With that, Christine are there any more questions?
Operator: We have no further questions at this time.
John Stropki: Thank you very much for joining us today. We look very much forward to discussing our first quarter results with you, 2012 results towards the end of April. Have a nice day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.